Operator: Ladies and gentlemen, thank you for standing by and welcome to the Nasdaq Second Quarter 2020 Results. At this time, all participants' lines are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Mr. Ed Ditmire, Vice President of Investor Relations. Please go ahead, sir.
Ed Ditmire: Good morning, everyone. Thank you for joining us today to discuss Nasdaq's second quarter 2020 financial results. On the line are Adena Friedman, our CEO; Michael Ptasznik, our CFO; John Zecca, our Chief Legal and Regulatory Officer; and other members of the management team. After prepared remarks, we'll open up to Q&A. The press release and presentation are on our website. We intend to use the website as a means of disclosing material, non-public information and complying with disclosure obligations under SEC Regulation FD. I'd like to remind you that certain statements in this presentation and during Q&A may relate to future events and expectations and as such, constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from these projections. Information concerning factors that could cause actual results to differ from forward-looking statements is contained in our press release and periodic reports filed with the SEC. I will now turn over the call to Adena.
Adena Friedman: Thank you, Ed. Good morning, everyone. And thank you for joining us. I would like to begin by acknowledging how deeply proud I am of the Nasdaq team's continued commitment to our clients and the communities in which we live during these last few months. With the second quarter being our first full period with a vast majority of our global workforce working remotely, I could not be more proud with the results that we have delivered for our stakeholders amid what is still a very unprecedented time. The executive leadership team and I are acutely aware that our colleagues, clients and so many of our stakeholders are tackling work, family and health responsibilities simultaneously. We are in the fortunate position that our business can operate in a remote working environment globally. And we've remained highly productive and available to our clients throughout this period. That said, we also recognize that some of our team members prefer the opportunity to work in an office environment. And over the long-term, we believe that there are social and creativity benefits that come from working together physically. Therefore, we are working to reopen our offices in a deliberate way as the virus subsides to specific cities and countries where we operate. And we are taking a very measured approach to the reopening of our offices that prioritizes our employees’ health and safety. In that regard, we will continue to make it completely voluntary until at least year-end 2020 for our employees to choose to return to our offices. The second quarter was marked not only by the deepening impact of the global health crisis, but by the escalation and recognition of the social injustices across many communities around us. We are committed to creating lasting, positive change and I'll highlight two examples. Last month, we announced immediate actions to strengthen our continued commitment to diversity and inclusion. In addition to our $5 million first quarter pledge to COVID-19 relief, in the second quarter we pledged an additional $3 million in cash donations to organizations serving underserved minority communities and fighting the impacts of the health crisis. In addition, as we look at Nasdaq’s broader purpose in the communities where we operate, particularly as a proponent of inclusive growth and prosperity, we see the Nasdaq Foundation as a core component of our societal mission. As a result, in addition to committing to an annual contribution to the Foundation of approximately one quarter of a percent of operating profit starting in 2021, we also made a one-time capital injection in Q2 of this year of $10 million to improve the funded position of the Foundation and to support its refined mission. We will update the market as we announce specific campaigns designed to support our Foundation's objectives. There's also a lot of momentum inside of Nasdaq to improve and accelerate our efforts to advance our culture. Therefore, we're increasing our internal resources devoted to programs focused on diversity-oriented professional development, employee experience and talent acquisition. Our ultimate ambition is for the Nasdaq team to reflect the diversity of the populations of each of the countries where we operate, and to provide a performance-driven culture that demonstrates respect and belonging for all of our employees. We are fully committed to taking the necessary steps in the months and years ahead to achieve this ambition.  This starts with publishing our diversity statistics from countries where we are permitted to collect that data, which we will start to do by the end of the third quarter. These will serve as an honest assessment of where we are and how far we need to progress. Nasdaq has always had a strong commitment to all three elements of ESG, environmental, social and governance practices. We believe our societal efforts will further enhance our position as a leader that is continuously striving to improve.  Now I will turn to our strong financial results for the second quarter of 2020. Nasdaq delivered net revenues of $699 million, an increase of $76 million, or 12% from the prior year period, driven almost entirely by organic growth. I'm incredibly proud to report that once again each of our four business segments delivered positive organic growth during the quarter, a testament to the resiliency of our business and the dedication of the Nasdaq team under the new remote working environment.  Net revenues in our Market Services business grew 22% while revenues in our non-trading segments grew 7% from the prior period. On an organic basis, revenues across the non-trading segments increased 6% year-over-year, with growth from acquisitions contributing 1% to total growth. Operating leverage was particularly strong as expenses were up slightly during the period resulting in the non-GAAP operating margin expanding nearly 500 basis points to 53% and contributing to non-GAAP EPS growth of 26%.  Turning now to the specific highlights from the second quarter, I will also briefly address the evolving industry and client dynamics we're observing and how we see these influencing our performance for the remainder of 2020. I will begin with our foundational marketplace businesses. Our Market Services segment saw net revenues of $276 million, a 22% increase from the prior year period. This was led by higher cash equity trading and equity derivatives revenue amidst the continued surge in volumes for cash equities and equity linked derivatives. These elevated volumes were driven not only by evolving expectations around the pandemic’s implications, but by the way the pandemic seems to be accelerating certain long-term dynamics that have spurred significant sector rotations in the market. We said last quarter that the volume outlooks set up constructively due to both this pandemic's uncertainties and the fact that 2020 finishes with the U.S. presidential elections. A quarter later, we increasingly expect that the current economic and political backdrop will continue to support elevated volumes during the latter half of the year.  Our Corporate Services segment delivered revenues of $126 million, a 2% increase, boosted by a return in newly -- new listing activity and continued demand for our Investor Relations intelligence solutions, as well as higher revenues from corporate governance solutions. After returning to organic growth in 2019, our IR and governance businesses saw an acceleration in the first half of this year driving 8% organic growth in Corporate Solutions in the second quarter, excluding a 2% impact due to unfavorable changes in foreign exchange rates. Our IR advisory services including our relatively new ESG advisory solution were top contributors in the period. We believe the restructured and repositioned Corporate Solutions product suite has a much stronger alignment with the secular trends that are driving our corporate clients’ interactions with their investing community, and other stakeholders.  That said, we did experience reduced demand from corporate clients in sectors that are highly impacted by the effects of the pandemic, such as travel, retail, energy and financials where focus on expense control has become a priority. Additionally, prospect engagement in a vortical environment has created longer sales cycles for some of our corporate services. Recognizing that these impacts could change quarter-to-quarter, we have endeavoured to provide our clients with near term savings opportunities within the context of what are meant to be continued and eventually rebounding long-term relationships. In our Listing segment Nasdaq led U.S. exchanges for IPOs during the period welcoming 42 IPOs for a 67% win rate. For the first six months of 2020, we welcomed 69 IPOs, representing 69% of all US-IPOs. Our IPOs have raised $17.4 billion, which represents 66% of total IPO capital raised in the United States. Excluding SPAC, we have welcomed 55 operating company IPOs for an 85% win rate in the first half of the year. Listing highlights from the second quarter include three of the top four largest IPOs by capital raise, including Royalty Pharma, the largest U.S. IPO of 2020 to-date; Warner Music Group; and ZoomInfo, the largest technology IPO of the year. Notable SPAC listings during the period included DraftKings and Nikola Motor Company. The reopening of the IPO window is very encouraging. We have seen a steady inflow of listings from technology and healthcare, industries illustrative of the kinds of companies innovating to solve some of society's most pressing challenges, which are finding a very receptive audience with investors. Companies are also responding positively to Nasdaq’s virtual experience during IPOs reflecting -- reflected in our market leading win rate. Feedback from newly listed companies and also importantly from the investment banking and underwriting communities have been tremendous.  Our partners appreciate the seamless manner in which we transitioned our IPO first trade process once we changed our operation to remote environment in March. Looking ahead to the second half of the year, we see a very healthy pipeline of companies looking to tap public markets with many intending to execute again ahead of the November U.S. presidential election.  Now let me turn to our technology and analytics businesses. Our Market Technology segment delivered $84 million in revenue and signed $38 million in new order intake. Our annualized recurring revenue in the quarter was $268 million, a 9% increase year-over-year. New order intake overall was moderate during the period as client decision making around large scaled technology projects has slowed during the pandemic. Looking within the product offerings, we note that we had strong new order intake in Nasdaq trade surveillance, a SaaS offering focused on our broker dealer clients. And we signed 5 new marketplace technology customers, all of which were signed after virtual sales process and all of whom selected our SaaS delivered market technology solutions. We were also excited to announce during the second quarter the launch of Nasdaq’s Marketplace Services platform to provide our market technology clients with seamless access to standard cloud-based infrastructure component and full trade lifecycle capabilities as they move to the next phase of their digitalization. This service was announced alongside signing of our first client LEX Markets, which will leverage our cloud masking services to power their trading platform for commercial real estate securities. There is heightened interest in the ways that our next generation technology, particularly the SaaS capabilities that we have built into both market infrastructure and surveillance products can help our clients deal with heightened scalability and flexibility challenges that the pandemic brings. These examples also highlight how we've made significant strides in adapting the ways that our technologists are performing in a more remote work environment. Still implementation projects, new order intake levels and funding for new markets initiatives have been modestly impacted by pandemic-related factors. We continue to expect to see the short-term mostly logistical growth headwinds that increase the risk of the market technology being below the bottom of our medium term growth objectives for the current year. Turning to our Information Services segment, we delivered net revenues of $213 million, up $19 million or 10% from the prior year period. Index AUM rose to $272 billion at the end of the period, up 34% versus the prior year, and eclipsing a previous quarter end high of $233 billion in the fourth quarter of 2019. Index revenue was $68 million, up 24% year-over-year, with contributions driven primarily by the increase in ETP licensed product AUM and secondarily from fees generated from trading of licensed futures. We're incredibly pleased with the strength and resilience of our flagship index products during the quarter. We believe that the Nasdaq Composite and the NASDAQ-100 performance reflects investor interest in the companies that are supporting the modern infrastructure for tomorrow's economy, workforce and workplace. Year-to-date, AUM in all ETPs licensed to Nasdaq’s indices are up over $40 billion and almost 26% of that increase or $64 -- $26 billion, sorry, of that increase or 64% came from net investor inflows to the products, with the remainder from market performance during the year.  While this segment is sensitive to what can be reversals in exogenous market beta and futures volume trends, there's no ignoring that the second quarter’s positive results put us in a better position for a full year performance. Our Investment Data & Analytics revenues increased 13% from the prior year period, including the contribution of Solovis which we acquired in March. While 2020 organic growth of eVestment is seeing some impact from budget tightening on the part of the buy side, the addition of Solovis’ real time performance and risk modelling gives us more opportunities to catalyze allocation decisions on the part of asset owners, decisions that in turn are higher usage of eVestments -- of leading asset manager research and selection tools.  Revenue in Market Data saw modest organic growth during the period and continues to deliver consistent results. We've seen relatively stable performance and expectations in our Market Data products.  And finally for the third quarter -- for the third consecutive quarter, the majority of our revenues in the Information Services business came from the index licensing and investment in analytics products are a direct result of focusing our investments into expanding our capabilities in higher growth areas within Information Services.  So, after reviewing each business, collectively, what does this mean from our investors’ perspective? Well, overall, we continue to benefit from a business model that delivers well during challenging times, due to the resilient and diversified nature of our business. With our diversity of offerings and customers, we benefit from certain segments, bolstering our results when others face some short-term pressures. That has been the story of Nasdaq for many years now, and overall it provides for more stability and predictability than many of our direct peers. We continue to see 2020 as an elevated risk environment related to the pandemic’s implications, and related changes to client purchasing behaviors could continue building in some portions of the business as the year progresses. But we also recognize that the strong performance for our index business and the rebound in demand for IPOs has us feeling directionally more optimistic than we were three months ago.  On the last quarter call we referenced our long-term outlook of 5% to 7% annualized growth in our non-trading businesses. As we experienced the early days of the pandemic’s impact on the economy, we communicated that we saw risks in our ability to achieve the lower end of that growth range in 2020. Given the strength of our second quarter performance, we believe that the risks have moderated somewhat. Therefore, there's -- unless there's a sharp reversal in the current environment, our confidence has increased in our ability to achieve the lower end of our 5% to 7% organic revenue growth range collectively across our non-trading businesses for the full year of 2020. We will continue to provide updates on our growth progress as we address our third quarter results in October.  In addition to the strong results from our businesses this quarter, we also saw positive developments on the regulatory front in the period. In June, the D.C. Circuit Court of Appeals ruled decisively against the SEC on two issues that were very important to us. First, the court’s rule that the SEC exceeded its legal authority by creating a process to review fees long after they’ve taken effect. The rule vacated or invalidated the SEC’s actions in October 2018, when it overturned the ruling of its own administrative law judge that proprietary data prices were properly regulated and constrained by competition and mandated the review of hundreds of other fees. Second, the court’s rule that the SEC’s excess fee pilot was on unauthorized because the SEC lacks the authority to adopt rules and impose obligations if their sole purpose is to gather data. For the commission to regulate, it must identify a problem and justify its proposed solutions with sufficient economic analysis of the cost, benefits and possible alternatives. The pilot would have subjected thousands of U.S. issuers to a multi-year experiment to determine what might happen if liquidity incenting rebates and exchanges were restricted or eliminated.  We continue to believe that the U.S. stock markets are the envy of the world delivering unmatched liquidity and resiliency at extremely low cost in a highly competitive environment. We hope that as the SEC moves forward in its efforts to find ways to improve the markets, they do so with the utmost thoughtfulness to ensure that reforms fully deliver benefits across a wide range of issuers, intermediaries and investors that depend on them. Going forward, we urge the SEC to adopt a more inclusive approach to developing consensus around rule proposals and significant rule changes, particularly when those changes are wide ranging and carry a significant risk of unintended consequences.  As we look to the second half of 2020 and beyond, we now know that we will be navigating a world and economy characterized by the pandemic’s effects for longer than we were expecting. We've also learned important lessons during this period that bolsters our confidence in our longer term strategy to maximize opportunities as a leading technology and analytics provider while maintaining our foundational marketplace focused businesses.  Importantly, we observed several key trends that underscore the flexibility of our strategic ambitions to serve markets everywhere. For example, we're now able to reach a new set of clients and finalize deals in our Market Technology business using our SaaS-based solutions, which provide more turnkey and scalable market capabilities for our clients in a fast changing economic environment.  While our index business will always be subject to cyclical beta related impacts due to the nature of its revenue model, we have seen a new appreciation for the thematic approaches that characterize majority of Nasdaq's index franchise. And of course, the good fortune to be in the right thematic for a world that is changing in ways that make technology and healthcare more important to everyone's lives than ever.  Additionally, our institutional investor clients are increasingly turning to a data-driven decision making in a volatile and unpredictable environment, which underscores the value of our data analytics offering. And lastly, over recent years, there's been a growing urgency among companies globally to make a positive contribution to the environment and to focus on governance practices. This year, the focus on the pandemic and its impact on our society and in particular on our underserved communities, has elevated a commitment from the private sector to key areas of social responsibility as well. As a result, we're starting to be rewarded for our efforts to expand our offerings, addressing corporate issuers and other clients’ rising ESG needs.  As I wrap up, I will summarize by saying that Nasdaq remains sharply focused on advancing our strategic mission. Our global team has demonstrated their seamless adjustment to the remote nature of our current operating environment. And our team's ability to deliver uninterrupted service to our clients has demonstrated in our strong results this past quarter.  And with that, I'll turn it over to Michael to review the financial details.
Michael Ptasznik: Thank you, Adena. And good morning, everyone. My commentary will be primarily focused on our non-GAAP results and all comparisons will be to the prior year period, unless otherwise noted. Reconciliations of U.S. GAAP to non-GAAP results can be found in our press release, as well as any file located in the financial section of our Investor Relations website at ir.nasdaq.com. I will start by reviewing second quarter revenue performance as shown on Page 3 of the presentation and organic revenue growth on pages 4 and 14. The $76 million increase in reported net revenue of $699 million is a net result of organic growth of $75 million including 22% organic increase in Market Services and 6% organic growth in the non-trading segments, a $3 million positive impact from acquisitions, and a $2 million unfavorable impact from changes in foreign exchange rates. I will now review quarterly highlights within each of the reporting segments. I will start with Information Services, which as reflected on pages 5 and 14 saw a $19 million or 10% increase in revenue. Organic revenue growth during the period was 9%, primarily reflecting very strong growth in our index business and then smaller but positive contributions from each of the Investment Data & Analytics and Market Data businesses. Operating margin of 62% declined about 1 point compared to the prior year period, primarily due to the inclusion of Solovis. Market Technology revenue, as shown on pages 6 and 14, increased $5 million, or 6%, with organic growth of $4 million, or 5%. Organic growth during the period primarily reflects an increase in Software-as-a-Service surveillance revenues. As Adena noted, annualized recurring revenue or ARR rose 9% compared to the prior year period. Operating margin of 18% was up 8 points from 10% in the prior year period, and year-to-date margin of 14% for the segment is up 4 points.  Turning to Corporate Services on pages 7 and 14, revenues increased $3 million or 2%. Organic revenue growth was 3% or $4 million, reflecting an increase in U.S. Listings revenues and increases in both IR intelligence revenues and governance solutions revenues. This was partially offset by lower event related revenues at the Nasdaq MarketSite and lower Nasdaq Private Market program activity, both mainly due to the business impact of COVID-19. The operating margin of 39% for the segment was up 3 points from the prior period. Market Services net revenues on pages 8 and 14 saw a $49 million or 22% increase. Excluding the negative $1 million impact from unfavorable changes in foreign exchange, the organic revenue increase of $50 million, also 22%. The organic increase driven in the period primarily reflects increases in cash equities and equities derivatives net revenues due to higher industry trading volumes. The operating margin of 64% for the segment remains elevated due to the high volume environment.  Turning to pages 9 and 14 to review expenses, non-GAAP operating expenses were $327 million in the second quarter of 2020, an increase of $5 million or 2% compared to the second quarter of 2019. This reflects a $7 million increase from the impact of acquisitions, as well as higher compensation expense, infrastructure costs and depreciation expense, partially offset by lower corporate travel expenses, event spending and changes in foreign exchange rates.  Turning to Slide 10, we are taking our 2020 non-GAAP operating expense guidance range to $1.33 billion to $1.36 billion. While we've experienced reduced levels of travel and event spending, it is important to note that we plan to continue to invest in the infrastructure necessary to support the current and potential for even greater activity on our platforms. In addition, we're also continuing to allocate the capital and resources to deliver on our longer term growth initiatives and our full year expense guidance range reflects these investments in the second half of the year.  Based on our latest internal expense forecast, which takes into account the impact of the relatively strong organic growth has on variable compensation, as well as the latest foreign exchange rates, as we stand here today, we see ourselves as most likely to be in the top half of our updated expense guidance range. Moving to operating profit and margins. Non-GAAP operating income increased $71 million in the second quarter of 2020 and the non-GAAP operating margin was 53% compared to 48% in the prior year period. The nearly 500 basis point increase in the margin year-over-year reflects strong operating leverage, particularly in Market Services business as well as multi-year efforts to enhance the company’s scalability. So, we would expect some near term reversion should market volumes moderate.  Net interest expense was $25 million in the second quarter of 2020, a decrease of $3 million versus the prior year. The non-GAAP effective tax rate was 26.4% for the second quarter of 2020. For full year 2020, we continue to expect the non-GAAP tax rates to be between 25.5% and 27.5%. Non-GAAP net income attributable to Nasdaq for the second quarter of 2020 was $256 million, or $1.54 per diluted share compared to $203 million or $1.22 per diluted share in the prior year period.  Let me now turn to the balance sheet. As we’re taking steps from the first quarter of 2020 to increase cash reserves and eliminate near term maturities, in the second quarter, Nasdaq took advantage of a receptive credit environment and issued a $500 million 30 year bond. Then, as the short-term credit environment continued to improve, we became more comfortable with reducing our cash position to more normal levels and used the proceeds from our debt offering and the excess cash on hand to redeem outstanding commercial paper and to repay all the borrowers on our revolver. As a result, the company returned to lower leverage while enhancing available liquidity.  Turning to slide 11, the net of these actions is that debt decreased by $626 million versus March 31st, primarily due to $1.1 billion of aggregate net payments on revolver borrowings and commercial paper that I mentioned a moment ago. Our total debt-to-EBITDA ratio ended the period at 2.4 times, down from 3 times in the first quarter of 2020. Net debt-to-EBITDA was 1.9 times, down from 2.3 times in the first quarter of 2020. Also, during the second quarter of 2020, the company paid common stock dividends in the aggregate of $80 million and repurchased common stock in the amount of $30 million. Year-to-date, through June 30th, the company has repurchased common stock in the amount of $152 million, largely completing our objective to use share repurchases to offset dilution of equity compensation and other sources of gross issuances to ensure investors benefit from a stable share count. With that, I'll turn it back over to the operator for Q&A.
Operator: Thank you. [Operator instructions]. Our first question comes from Rich Repetto with Piper Sandler. Your line is open.
Rich Repetto : You seem like you're in the sweet spot right now, given your exposure to equity trading and equity options as well as having the high percentage of recurring revenue. So, I guess this -- my question is, with so much volume now going into, from retail, the TRF percentage up in the low 40 percentage. Are we missing anything? I'm trying to look at the unintended consequences of having so much off-exchange volume. Your revenue capture actually went up in equity, which I didn't understand. But just trying to see how -- given that you're in the sweet spot, make sure we're catching all the reflections here or are all the possibilities?
Adena Friedman : Sure. Well, I would agree that retail participation in the markets, but the equities markets and the equity options markets has been -- certainly has been elevated this year. And you are right, that it is resulting in more off-exchange volume occurring. I think that what we've been really focused on is, for the volume that does, that come to the exchanges, what can we do to maximize our position? And so we've been working really hard right on a few fronts. One is, certainly just overall customer service and availability. Second is, just the scalability of our business and ability to handle these really large volume days, particularly like the Russell and the S&P 500 rebalance days. Third is that we continue to improve the performance of our systems with tech improvements and things that we're doing to make sure that we optimize the performance of our markets. And then the last thing is making sure that we really educate our customers on how to use all the elements of our markets, like our M-ELO orders and other things like that to capture as much volume as we can, but the retail volume generally gets internalized. And then of course turns into secondary volume that comes to the exchanges. So we do benefit from the overall elevated environment, but we do find that the level of internalization is something that we watch pretty carefully. Because you don't want there to be a diminishment of the price discovery that's occurring in the market by having too much of the volume go [off-exchange]. So it's something that we certainly are focused on. I think the one thing that we are focused on, Rich, is just making sure retail investors are educated as they're coming into the markets. The online retail brokers do a really good job of that. FINRA does a really good job of that. So we're just partnering with them to make sure that we're helping them with their educational efforts with the retail investors. 
Rich Repetto: Anything on the revenue capture, that was part of the question -- the one question.
Adena Friedman: So the revenue capture, it's really a function of a lot of things. So one is just which markets are they leveraging to come into the market and therefore what's our capture rate. I think we also are -- we're very careful in looking at how much volume is coming into the auctions. We did have two very large auctions in the quarter -- at the end of the quarter with the S&P500. I think that was 1.2 billion shares. And the Russell rebalance was 1.5 billion shares. And there's obviously Craigslist as well in terms of the options versus the intraday trading.
Operator: Thank you. Our next question comes from Alex Kramm with UBS. Your line is open.
Alex Kramm: Hey, good morning, everyone. Quick one on COVID and the current pandemic. You talked about how -- obviously there's some negative impacts on the revenues, but also positive on expenses. Anything to note positive on the revenues? I mean, are there new business wins or anything that have come out, new use case that your clients have seen where you may be benefiting coming out of this? Or is it too early to tell?
Adena Friedman: No, actually, I think a couple of areas, Alex, I think it is actually relevant. So the first is how the demand for more of our SaaS-based technology is actually elevated during this period, because I think more and more the clients are realizing that to have the scalability and the flexibility they want to be able to have what I would take has to be on demand, to be able to manage their infrastructure remotely. All of those things really benefit from a SaaS market structure, SaaS market technology. And certainly as they've moved a lot of their compliance and surveillance teams remotely, there's even more demand for our surveillance solutions, because they want to make sure that they're able to propagate this across the firm. So I think those things actually have benefited from the need for people to be more flexible about where people work and having less reliance on their kind of homegrown infrastructure. And so all five of the new clients in the market operators that we signed in the quarter of were SaaS based solution to their all our next generation solutions, both in surveillance and market -- and upgrading. And I think that, in general, our overall demand for those types of services has gone up.  I think the second thing is on the index side. We are continuing to have a lot of great dialogue with our index partners about new products that we can bring to market that do play into the long-term changes in the economy, and making sure that we deliver indexes that investors feel like they can invest in over the coming decades, that will have a positive trend around them. So I think that's another area that we're really focused on Alex that's more COVID related. And then I guess the last thing is on our data analytics platform of Quandl. We are seeing more demand for certain elements of alternative data, because they're trying to get ahead of government data, for instance. So there's really trying to get much better insights into demand and how it's changing and shifting in the world. And I do think that a lot of our Quandl products are relevant there. So those are the things that we're seeing Alex.
Operator: Our next question comes from Ken Hill with Rosenblatt. Your line is open.
Ken Hill: Hi, good morning. I was hoping to ask about Nasdaq Marketplace Services Platform. So I know you guys launched this at the end of June. You have some detail on the website. And I was hoping you could help me kind of narrow the focus a little bit because it seems to have all -- a lot of great buzzwords in there and have a huge focus which can do a lot of things that a lot of fintechs and exchanges want to do. So I'm hoping to understand maybe how you see it specifically positioned within there? Secondly, you mentioned some early months with LEX there, but then may be who the natural customer base is for this and maybe the addressable market for it here over time?
Adena Friedman: Yes, no problem. So I think it was funny, we always joke with our marketing department on the buzzwords. So -- but I think that -- let me just kind of break it down. As we think about what we've been investing in over the last several years in market tech, the first thing is, is what we call Nasdaq financial framework, which is really the platform, the core platform that allows for micro service architecture. And what that means is you have this like common data layer, common data management capability, common security layer, a common code based across everything you're building. And that's kind of the core platform regardless of what functionality you put on top of it, and what capabilities you build, it's the common platform that all of our market tech solutions now are built on top of. And then on top of that, you then build capabilities like functionality, trading, prepaid risk management, post trade, processing, settlement, surveillance, things like that. What we've done with the Marketplace Services Platform is essentially completed the trade life cycle in a micro service architecture, so that you can basically deploy a market much faster in the cloud. So everything is fully cloud-native. And you can go and it's a much more kind of a turnkey solution for new markets. So the primary clients for the marketplace services platform are new markets. They could be existing clients that want to launch new markets, they want to launch a resource market or they want to launch something that's in the financial instruments themselves, crypto markets and things like that as well, or it can also be used for these -- kinds of new market concepts that we've been talking about in terms of outside the traditional capital markets. LEX Markets is a real estate securities platform, it’s a really a new construct. And we think that their marketplace services platform is kind of a perfect use case for that. And so it's just really creating a full trade life cycle. Our first iteration of it was the matching engine itself. And now we have a full trade life cycle in that micro service architecture. So, hopefully that helps kind of break down a bit.
Operator: Thank you. Our next question comes from Brian Bedell with Deutsche Bank. Your line is open
Brian Bedell : Let me just shift gears to the expense outlook and appreciate your comment on that Mike. Just kind of -- yes, obviously a very good performance with the operating margin, either continuing to grow and higher here and it looks like the -- about 300 basis points of operating leverage so far, halfway through the year with 6% non-trading revenue growth and 3% op expense. So, maybe as we move into the second half of the year, do you think we can still have that type of operating leverage? And maybe just to throw in a comment on the non-trading revenue growth side, new market technology with a little bit of a [spin] on the new order intake, does that mostly depend on that sales trajectory improvement a little bit in second half? Sorry for all the bundled questions.
Adena Friedman: That’s okay. So, we’ve got discuss of operating leverage and the discussion of order intake and market tech. So, I just want to make sure Michael, do you have any comments on operating leverage that you want to start with?
Michael Ptasznik: Well, I think we’ve covered it to some degree in the remarks, Adena, so obviously, the operating leverage is getting the benefit from the additional revenue that we’re receiving on the trading activity and that side of the business. And we continue to, as we said in my remarks, invest in the business. And so we do think that there -- for the full year the overall expense guidance is around that 3% range. So, that's what we're targeting and that's what -- when you look at that, in my remarks we said sort of the mid to the upper end of the range with respect to that expense guidance. That's where we come in around 3% for the full year. And then on the revenue side it's really with respect to what happens with respect to the operating or the revenue activities we have on the trading side, which is what the real driver as to whether it's in a -- stay where it is, increases or decreases, it’s dependent somewhat in the short-term based on the trading activity.
Adena Friedman: Yes, and then on the order intake question from market tech, I think the question is, are we dependent on the same kinds of order intake for us to thrive our year -- our current year results. And I would say Brian that we certainly continue to see a good pipeline of opportunity with order intake. As I said before, I think that we are seeing a little bit more moderated order intake this year because of the fact that bigger technology decisions are taking longer. So, that kind of chunky big order intakes that we tend to get from our larger clients are taking longer as they're managing through their own situation before making significant changes to their system or launching new things within their markets. But I would say that we do continue to see a healthy pipeline. And as we said before, we do see some risk to our ability to reach the lower end of the growth target for our market tech business this year, just because of some of the challenges in terms of time to sales and the way that we're implementing in a remote environment. But overall, the overall health of that business continues to be really strong and demand for our services continue to be really strong. So, I don't have a specific answer to your question about order intake relative to revenue. I'm hoping that we've given you guys enough understanding of the dynamics we're seeing, for you to look at, to get at the right conclusion there.
Operator: Thank you. Our next question comes from Mike Carrier with Bank of America. Your line is open. 
Mike Carrier: Good morning. And thanks for taking the question. You mentioned that you're more comfortable on the low end of the non-transactional revenue growth range this year, but expecting some client activity in corporate and tech to be slower, which makes sense. I'm just curious, if you were using this scenario for a longer time period, I think, are you seeing clients -- and obviously I think Nasdaq is but it’d would happy enough that you could eventually see a pickup in orders if we’re in some of this type of environment for a longer period of time? And then Michael if either that is the case and we don't see it pickup in activity, what areas would you have on kind of the expense side for flexibility? 
Adena Friedman: Sure. So I do think that clients are adapting. It's kind of they first had to get through really a surge in volume and a complete change in their operating model. And so they obviously put certain decisions on hold. And then you have the second thing, which is, okay, now we've got to deal with this new normal. And what does it mean for our business? And so how much -- how far are we going to lean in on new enhancements or new products, new markets? I think though, however, there was just an enormous amount of kind of momentum and demand coming into the year for new markets to launch, for people to try, to put more instruments on their platforms and for them to really thrive for frankly a more flexible infrastructure. And so I don't think there's decisions that are really put on hold forever. Mike I think that a lot of them are just taking a little bit longer, so they know exactly how they're going to make that capital allocation decisions while they manage through a longer term environment. The other thing I would say is obviously the exchange world in general has done -- has performed well. And the -- obviously the markets have performed well. I think that the volume activity is not just here in the United States, but it's in other countries as well. And so the overall resilience of the business models of our customers make it so that those types of decisions might take a little longer but obviously be made because they definitely see the benefit of modernizing their infrastructure. On the broker dealer side, I think that a lot of -- some of the sales have been more on those immediate needs, and that's why our surveillance sales have been really strong. But over time, broker dealers also want to optimize their infrastructure. They're going to prioritize things that where they're making money, and they are making money in trading. So we do think that those are opportunities also in the long-term to revert back to where we were seeing demand before. And then I'll turn it over to Michael on the question on expenses. 
Michael Ptasznik : Yes, I think, it's just a bit of an extension of what Adena was saying with respect to. We look at the expenses in the context of the revenue. And so if we're in a period where this is continuing, and then obviously along with that there's good chance for uncertainty. So we'll be seeing good revenue or activity on the transactional side of the business. So that goes through really the resiliency of the business, but obviously in an environment that we're sitting in, we are seeing the benefit of reduced levels of spending on some of the discretionary spend or things like travel, our marketing events have moved online, and so you save some of the in-person costs and the cost of hosting those events and we have moved those online, but then there are some savings that's related to that. So we obviously always look at our discretionary spend and we'll look at the non-essential initiatives that we're looking at as an organization that you do over the longer term, but we're definitely going to and I want to make sure, we're clear about this in continuation of my remarks that we're continuing to invest in the capacity and the infrastructure to meet the markets' demands. In addition to that, we will continue to invest in the long-term growth initiatives for the business. And so we will look to manage expenses where we can and where possible, but we will continue to invest for the future. 
Operator: Thank you. And our next question comes from Chris Harris with Wells Fargo. Your line is open. 
Chris Harris : So there was a decent sized drop in the U.S. options capture rate in the quarter. Can you talk a little bit about what's going on there and then is this a good run rate would you say for U.S. options capture? 
Adena Friedman : Sure. So the U.S. options capture is really a function of the level of retail that's come into the options markets, because they -- those types of orders tend to gravitate towards the price time market as opposed to the floor-based markets or the complex markets like we have in ISE. So that -- and as you know the price time markets tend to have a lower capture. So I do think it's much more of a trend of retail. Now whether or not that trend will continue over the long-term is something that we all we'd like to see in general, because while the capture is lower, the volumes are up, right? So you have to kind of look at it, it's a balance there. And so, in general, we feel that having more participation in the market, more varied participation in the markets and more democratization of the market, these are all good things for the capital markets in general. And so I would say we just firstly just have to -- we'll have to see how much, how resilient the retail is. But I would say that you should look at it more as a function of that as opposed to concrete or discrete decisions that we've made. It's more just where the volume is going. 
Operator: Thank you. Our next question comes from Alex Blostein with Goldman Sachs. Your line is open. 
Alex Blostein : I was hoping to get to the Infra Services segment for a second. Could you guys talk a little bit about sources of growth particularly around the U.S. prop business this quarter as well as the pickup in investment in data products that there also seems like to be pretty nice pickup sequentially. So maybe a little bit more color there would be helpful? 
Adena Friedman : Sure. Yes. Sure. So on the prop products, our proprietary products, we are continuing to find demand for our products particularly as frankly the retail investing dynamic continues to increase. I think that more and more of the retail brokerage firms and those firms that are really geared towards retail investors want to have access to real-time information and we offered in a really flexible way. And so and we worked very hard to be highly competitive with our peers, in terms of offering us superior products at a great price. So that has been an area of growth for us as we've continued to expand the usage of our data across the broader capital markets ecosystem. I think that in terms of the data and analytics business, it's been driven by couple of things. First, we still continue to have good growth in eVestment, although, it's somewhat moderated from last year, because we've been really working very hard to really solidify the core value proposition that we have for clients. We changed our pricing model last year and it's actually really benefiting the resiliency of that business this year, the usage of our data and analytics this year on eVestment. And it's kind of setting us up to really continue to drive new -- growth for new product delivery. So we've had actually a 39% increase in the usage of eVestment this year over last year and that's really because more and more of the C-Suite of the asset managers are really picking up and leveraging the eVestment data to make more strategic decisions around how they want to launch products or allocate their assets to different investment strategies. And I think that will give us a really good position to grow and expand the product base there. We also have the benefit of Solovis coming in and also driving growth. They've had, they have strong demand for their services. And we signed our first kind of Solovis client on the back of being an eVestment client. So we are opening doors through our eVestment relationships for the Solovis product. So I think all of those things are the reasons why we're seeing healthy growth in that business, but we're also shoring up the resiliency of the business with the change in the pricing. 
Operator: Thank you. Our next question comes from Kyle Voigt with KBW. Your line is open. 
Kyle Voigt : So maybe just one on the index business. I wonder if you can update on how much of that index revenue line is driven by AUM base fees now. I think, last update was around 60%. And I'm wondering if you could help us understand the average fees on assets benchmark to that NASDAQ-100. I think primarily the Qs where the AUM is up 54% year-over-year versus the total AUM up 34%. Just wondering if there is some favorable mix shift going on there on top of the really strong growth?  A - Adena Friedman  So in general and I just want to make sure, we've been looking at this in terms of percentage of our revenue in the index business that comes from AUM-driven revenue versus the futures volumes and the data revenue. And about 60% to 65% of the revenue in the index business comes from AUM and that's kind of an average over the last -- or a range that we've experienced over the last few years. And somewhere in the range of kind of 10% to 20% comes from the futures volumes. It really just depends on the quarter in terms of the level of activity there. So hopefully that gives you a little bit of a sense of the scale. In terms of the fee base, we don't publish fees specifically to index businesses or our specific indexes that we launch with our clients, but I would say that the NASDAQ-100 Index program, in the way that the partners that we have with Invesco is a long standing evergreen partnership. So that the fee base within the NAS-100 has been the same for a long time. 
Operator: Thank you. Our next question comes from Ari Ghosh with Credit Suisse. Your line is open. 
Ari Ghosh : So Adena just circling back to your comments on the index business. If I look at the recent performance, it's especially noteworthy given that even outside of market beta organic net flow growth, I believe is accelerated to around 15% range and is outpacing industry trends. So could you just talk about some of the differentiating factors and notes around your index business versus some of the larger index players in the industry? And then looking ahead just curious where you see the most room for product innovation. Is it around the smart beta, ESG or some other white space out there where you see the most opportunities? Yes, just as we think about, you're looking at avenues not to hit that medium-term growth targets in the index business. 
Adena Friedman : Sure. So I think that first thing, I would say is, the NASDAQ-100 and the Nasdaq Biotech Indexes are just great foundational franchises for us. And then we have a very, I think, actually a great cadre of smart beta indices that also have done quite well in terms of just leaning into overall thematic trends. So I just think that we've been pretty good at selecting the types of themes that we want to launch in our index business. We're little bit more, I would say, of a niche type of player. We don't do every index that you can possibly imagine. We really do, work very closely with our partners to launch products that we think will have really strong investor demand, but also playing to trend. So the trends that we've seen has been highly successful are trends around technology, cloud indices, IT security indices, biotech indices and obviously the flagship NASDAQ-100, which is a -- which has a lot of waiting towards the technology sector in general, but it is actually a broad-based index that has a lot of sectors in there, but technology is obviously the most prevalent. So I think it's just that, our market as well as the indices that we build around our market trends are I think just playing into the next generation of our economy. And I think as a result of that we've had -- this resilience. And even you know in other down periods like in 2018 in the fourth quarter, we did not have as much reduction AUM, because even if the market performance was down for the quarter, we saw a lot of inflows coming in which offsets, obviously drops the market performance. In this particular case that's why we noted in my remarks that over 60% of the increase in AUM was actually from inflows not just market performance, because it does tell you that we're leaning into a lot of long-term trends with our indexes. So hopefully that answers your question, Ari, on that. 
Operator: Thank you. And we have a follow-up from Alex Kramm from UBS. Your line is open. 
Alex Kramm : Quick one, maybe -- maybe not. You mentioned -- Adena, you mentioned ESG three times in your prepared remarks today. So just curious if you can give us a little bit more color, which is obviously a super fast growing macro trend. And so any idea how big ESG is for you today, how fast it's been growing and where you see how much of an impact you can make in the future in terms of potential growth here? 
Adena Friedman : Sure. Yes. And that actually goes to Ari's second question which I didn't answer, which is, where do we see the bigger trends going forward in the index business. And ESG is certainly one of the big macro trends, and it is an area that we want to make sure that we again, in a very specific way that we are also playing into the ESG trend. We're trying to make sure that we do, for instance ESG versions of the OMXS30. We have other ESG thematic indexes that we're launching with our partners. So that's one area of ESG that we're definitely focused on, but it's still very small for us, Alex. I think that -- the other is actually in our corporate services business, where we did make a very small acquisition in a company called OneReport, but that is really catalyzed demand from our corporate clients. So I think our largest near-term opportunity, but still coming off of, we just launched the ESG advisory service like 18 months ago. So this is still pretty new. It's really helping our customers navigate a very complex environment around ESG reporting, making it easier for them to report their information by putting it into one place and having one repository that we then translate and map out to all the metrics providers.  Ultimately, we're going to want to expand that. So we can actually map that directly into institutional investors’ databases. And then additionally making sure that we capture this -- that information and make it so we can provide our corporate clients with more reports on their own trending, how they're trending against peers things like that. So that they can get more intelligence from all of the work they're doing around ESG. And I think that, so we see that as kind of a short-term in terms of really building up our consulting capabilities as well as our technology service to make it easier for them to review the reporting and then long term as we really create even more intelligence for our corporate clients and for institutional investors on overall trends in that. And then the last area of ESG that we're focused on, but again it's still very small from a revenue perspective, but we definitely see a lot of growing demand for it, is in the Nasdaq sustainability bond index, I'm sorry Nasdaq sustainable bond index -- network, which is really kind of -- in Europe it's a sustainable bond market where they list their bonds and make them available to investors in Europe. In the U.S., it's not yet a market, but it's essentially a listing venue for people to come in and we do a lot of work to make sure we invest in the bonds and other financing instruments around sustainability and confirm that they are, in fact, meeting sustainability needs and giving those companies access to the markets through those sustainability bond network, sorry, but that's still again small. So if I were to rank, order them in terms of near-term opportunity I would say that corporate products that we're launching are definitely the highest near-term opportunities, but all three of them have good long-term opportunities for growth for us, Alex. 
Alex Kramm : Okay, but too early to give any sort of corporate-wide ESG metrics or revenues like some of your information services PSR are already doing. 
Adena Friedman : Yes. No, I would say it's too early for us. And they are kind of embedded in different segments. So it's not something we pull together as one number. 
Operator: Thank you. And there are no further questions in the queue. I'd like to turn it back to Ms. Adena Friedman for closing remarks. 
Adena Friedman : Okay, great. Well thank you all very much for your time today. We are very pleased to see that our businesses are delivering strong organic revenue growth in the quarter. Guided by our strategic direction, we have a clear focus to finish 2020 strong as we re-imagine markets to realize the potential of tomorrow, and we are committing to executing our plans diligently while keeping our employees safe and set up for success while in the remote environment. So, but thank you very much and have a great day. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect. Everyone, have a great day.